Operator: Good day, ladies and gentlemen. Management has asked me to relay to you that certain statements made during the course of this call as they relate to the company's future business and financial performance are forward-looking. Such statements contain information that is based on the beliefs of management, as well as assumptions made by and information currently available to management. Phrases such as our goal, we anticipate, we expect and similar expressions as they relate to the company are intended to identify forward-looking statements. It is important to note that the company's actual results could differ materially from those projected in such forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements were identified in yesterday's press release and the company's Form 10-K and other filings with the SEC from time to time. I would now like to turn the call over to Mr. Chuck Sykes, President and Chief Executive Officer. Please go ahead, sir.
Chuck Sykes: Thank you, Glenn. And then good morning, everyone, and thank you for joining us today to discuss Sykes Enterprises' second quarter 2009 financial results. Joining me on the call today is Mike Kipphut, our Chief Financial Officer, and Subhaash Kumar, our Vice President of Investor Relations. In keeping with the format of previous earnings calls, I'll make some brief opening remarks and then turn it over to Mike Kipphut, who will then discuss the financials for the quarter in more detail, after which I'll wrap up the call with my closing remarks and then open the call up for Q&A. By now, most of you probably had a chance to go through our press release. And simply put, our underlying financial performance in the second quarter was quite strong given the state of the global economy. We posted close to double-digit constant currency revenue growth while exceeding operating margins and earnings expectations. In light of that performance, we are revising upwardly our full-year 2009 outlook. In what continues to be an extremely challenging macroeconomic backdrop, our teams executed exceptionally. Revenue from our top 50 clients, which represent close to 90% of total revenues, grew an impressive 14% on a constant currency basis. Significantly, roughly 96% of that growth was from new programs with existing clients and expansion of existing programs, which underscores a strong recognition of our service excellence by our clients. That’s not say there weren’t some challenges along the way, but at the same time, there are also some partial offsets, including the more favorable wage inflation and agent attrition picture. Still, softness in EMEA coupled with mixed pricing and currency trends remain. So nothing we haven’t already discussed in past quarters. And despite that, as our results demonstrate, we are managing through them. As the case in point, we have kept our cost structure in check, particularly the more discretionary elements of our SG&A spend, to offset some of the drag from softer lines of business. And we are capitalizing on the growth in telecommunications and financial services verticals, which are serving as our growth engines and offsetting the drag from other verticals. At the same time, we are moving ahead with our geographic expansion strategy, including the ramp-up of our newly launched Brazilian operation, which is progressing well. Moreover, as economic conditions rebound worldwide, the previously discussed EMEA headwind should serve as a further catalyst to our financial performance. And with that, I’d like to hand the call over to Mike Kipphut. Mike?
Mike Kipphut: Thank you, Chuck, and good morning, everyone. On today's call, I'll focus my remarks on key P&L, cash flow and balance sheet highlights for the second quarter, after which I will share our business outlook for the third quarter and full year of 2009. Let’s start with revenues. Second quarter 2009 revenues were $208.8 million, up 0.6% over the comparable period last year. On a constant currency basis, revenues were up 9.9%, led by the communications vertical, which was up 28%, followed by the financial services vertical up 8%. The growth in these verticals was mostly offset by declines across the technology, transportation, healthcare and other verticals. These declines were largely due to unfavorable currency in the form of a strong US dollar, coupled with some declines in volumes, although we are starting to see some encouraging signs with respect to our transportation vertical outside the normal seasonality. We should have more visibility into this as the year progresses. Operating margins during the second quarter of 2009 were 8.2% versus 8% in the year-ago quarter. Excluding the KLA impairment, operating margins were 9% in the second quarter of 2009, driven by revenue growth coupled with the rising capacity utilization rate related to ongoing client ramp-ups, lower roadside assistance tow claims costs in Canada and lower general and administrative expenses, due partly to favorable translation of certain non-dollar denominated expenses resulting from a strong US dollar. Earnings per share for the second quarter of 2009 were $0.35 versus $0.43 over the same quarter last year. The $0.08 comparable decline in earnings per share was due to higher interest and other income, partially offset by a higher tax rate in the year-ago quarter. Relative to our second quarter 2009 earnings per share outlook range of $0.27 to $0.30 per share, with a midpoint, say, at the $0.29 per share, the $0.06 earnings per diluted share outperformance versus the midpoint range was chiefly from operations, including better-than-expected revenue growth, coupled with lower general and administrative expenses and efficiencies. Turning to our client mix for a moment, our top ten clients represented 44% of total revenues during the second quarter of 2009 versus 40% in the year-ago quarter. Our largest client, AT&T, which represents multiple distinct contracts spread across multiple lines of businesses, represented 12% of revenues during the quarter versus 6.4% in the year-ago quarter. Client concentration dropped off sharply, as our second largest client, which is in a different vertical, represented 5% of revenues in the second quarter. During the quarter, the approximate net operating profit impact of all foreign currencies, including hedges, was approximately $2.2 million higher over the comparable period last year. This was due principally to a favorable translation of certain non-dollar denominated expenses at some of our Latin American operations. The Philippine peso hedge experienced a 2.9 million negative swing. For the third quarter of 2009, we are approximately 72% hedged in the Philippines at an average rate of 44.01 Philippine pesos to the US dollar. Likewise for the fourth quarter of 2009, we are approximately 80% hedged at an average rate of 44.23 Philippine pesos to the US dollar. We have also placed hedges for approximately 37% of our Philippines exposure in the first half of 2010 at an average rate of 50.02 Philippine pesos to the US dollar. Now let me turn to select balance sheet and cash flow items. Our cash and cash equivalents at quarter-end, June 30th, totaled $238.9 million, with $227.2 million or 95% held in international operations and would be subject to additional taxes, if repatriated back to the US. Cash and cash equivalents increased $29.9 million from first quarter 2009. The sequential increase in cash was due to changes in working capital, favorable adjustments for foreign currency translation and lower capital expenditures. Cash flow from operating activities in the second quarter of 2009 decreased to $25.4 million from $29.9 million in the comparable period last year. The decrease in cash flow from operating activities was mainly due to a higher net income last year coupled with timing related nature of certain working capital items. During the quarter, capital expenditures were approximately $7.3 million versus $8.2 million in the same period last year. At quarter end, we had no outstanding debt. Receivables were at $165.7 million. Trade DSOs for the second quarter were at 69 days, unchanged both sequentially and comparably versus last year. The DSO is split between 61 days for the Americas and 88 days for EMEA. Depreciation and amortization totaled $7.2 million for the second quarter. Trailing 12-month return on invested capital was approximately 36%. Now let's review some seat count and capacity utilization metrics. We ended the quarter with approximately 30,700 seats, net of a previously discussed 425-seat US center in Minot, North Dakota, which we exited during the second quarter. The seats were split between 24,500 in the Americas region and 6,200 in the EMEA region. The total seat count was up almost 3,300 from the second quarter of 2008 and up approximately 300 sequentially. The sequential increase in seats occurred across Cebu, Slovakia and the UK. Offshore seat count at the end of the second quarter was approximately 18,700 seats or 61% of our total seats versus approximately 17,700 in the same period last year. Capacity utilization rates at the end of the second quarter of 2009 were 79% for the Americas region and 78% for the EMEA region. On a consolidated basis, the capacity utilization rate was 79%. Capacity utilization rates in the same period last year were 82% for Americas region and 79% for the EMEA region. On a consolidated basis, the capacity utilization rate in the prior year period was 81%. The comparable decline in the consolidated utilization rate was due primarily to capacity additions during the quarter, coupled with the closure of a partially utilized facility in Minot, North Dakota. Now let me turn to our business outlook. The company's third quarter and full year 2009 business outlook reflects the following assumptions. First, we anticipate net new capacity additions of approximately 400 to 500 seats in the third quarter in addition to the net 1,050 seats added year-to-date through June 30, 2009. Given the demand within the Americas region, the company plans to increase its net seat additions in 2009 on a consolidated basis to between 1,700 and 1,900 from its original forecast of 1,200 to 1,400. Accordingly, some ramp-related expenses associated with the seat additions are expected to continue and are anticipated to be spread throughout the second half of 2009. Secondly, within the Americas region, the company continues to experience sustained growth in customer care demand from new programs with some existing clients within the communications and financial services verticals, more than offsetting lower demand with certain existing clients due to macroeconomic weakness and certain client programs that are expiring. The EMEA region, however, continues to experience softness in volumes coupled with some pricing pressure at certain embedded client programs, primarily within the technology vertical. In addition, the company continues to be impacted by the strength in the US dollar, as highlighted in the initial 2009 business outlook, which is expected to negatively impact third quarter and full-year 2009 revenues by approximately $10 million and $50 million, respectively, over the comparable periods last year. And finally, the company’s business outlook reflects $0.01 in earnings per share impact in the third quarter from the closure of a KLA administrative facility and the associated severance costs; interest income of $500,000 per quarter; and a lower estimated tax rate versus the 25% previously projected to a shift in the geographic mix of earnings to the lower tax rate jurisdictions. Considering the above factors, the company anticipates the following financial results for the three months ended September 30, 2009. Revenues in the range of $210 million to $213 million, tax rate in the range of 20% to 22%, earnings per share in the range of $0.31 to $0.34 per diluted share, and capital expenditures in the range of $7 million to $9 million. For the twelve months ended December 31, 2009, the company anticipates the following financial results. Revenues in the range of $833 million to $837 million, the tax rate in the range of 18% to 20%, Earnings per share in the range of $1.33 to $1.39 per diluted share, and capital expenditures in the range of $30 million to $33 million. With that, I’ll hand the call back over to Chuck for a few closing remarks.
Chuck Sykes: Thanks, Mike. As always in my closing comments, I want to thank all of our employees who have made and continue to make these solid results possible. We continue to execute on our strategy of delivering sustainable revenue and operating margin performance with a view toward driving shareholder value. And even though the drivers of our business have narrowed some, our core verticals of communications and financial services are doing exactly what a diverse base of verticals was designed to do. That is balance out the slack from other verticals. Meanwhile, the secular trends toward customer contact outsourcing remain encouraging, given we serve what is a large addressable market estimated at $180 billion. While it is always tough to predict the effects from this economic downturn on the customer contact industry or how it reshapes, it will continue to -- we will continue to adhere to the principles that have been pivotal in our successful execution, which are focused on markets where we can succeed, focus on performance, focus on productivity, and make smart and collective investments for growth. Because we have stayed true to our bread-and-butter customer care business, it has allowed us to focus our energies on delivering consistently high quality of service to our clients. Simultaneously, that focus has also afforded us the flexibility to swiftly adjust our delivery strategy, keeping us in sync with our clients’ evolving needs. As clients continue to face financial pressures and look to reduce costs while retaining their customers, they want to work with stable players that have the operational discipline and a proven track record. We also plan to sustain our investments in our delivery footprint, using the downturn to further strengthen our competitive position. Clients that have faired well through this downturn are already starting to entertain discussions with us about entering new geographic markets and augment their product lines and services to drive revenues. While clients started facing pressures in this environment, we are looking to selectively consolidate vendors. Our ongoing investments in our global delivery capability coupled with our operational discipline is turning out to be a significant differentiator and helping us take share away from competitors. In addition to our operational discipline, we will leverage our financial strength to the fullest given the fact that many clients continue to see financially sound suppliers as they strive to consolidate vendors. We believe our strong balance sheet and the healthy risk profile serve to highlight the inherent discipline in our ongoing approach to managing our business and deploying our capital. And with that, I’d like to open up the call for questions. Operator?
Operator: (Operator instructions) And your first question comes from Josh Vogel from Sidoti & Company. Please proceed.
Josh Vogel – Sidoti & Company: Thank you. Good morning.
Chuck Sykes: Good morning.
Josh Vogel – Sidoti & Company: Couple questions here for you. Firstly, with the minimum wage increase in the US, I was wondering what kind of impact you think that’s going to have on your US-based business?
Chuck Sykes: Josh, we were just talking about that in our staff meeting yesterday with it. And most of our agents -- actually all of our agents right now were above that threshold. So it doesn’t make any kind of an impact on our P&L or anything.
Josh Vogel – Sidoti & Company: Okay. So you have no plans to raise the wages of your agents here?
Chuck Sykes: No, I wouldn’t say so.
Josh Vogel – Sidoti & Company: Okay. Now, are you getting significantly undercut on pricing by any of smaller local players? And if so, where are you seeing this mostly?
Chuck Sykes: No, I couldn’t see that. I couldn’t say that we are seeing that. What we’re seeing more of is clients are having to consolidate. And since they are having to consolidate, they are putting more risk, if you will, onto a particular supplier. So they are right now -- I would say, they are gravitating more to suppliers that have the financial strength and have the operational capabilities to meet not just our current needs, but future needs. Now, certainly there are some smaller companies out there that are good suppliers. And in fact, I’m pretty familiar with several of them. They are good folks. But I would say that it’s more characteristic of a strong relationship that they have maybe with one or more companies. But I would really classify it as an industry characteristic to say that they are going to smaller companies.
Josh Vogel – Sidoti & Company: Okay, thanks. And now, with the negative operating leverage you discussed in EMEA, is that expected to abate in the second half of ’09? I was curious if the client and customer demand is now better aligned with the corresponding reduction in labor costs. And what have you been doing in EMEA to better control the costs there?
Chuck Sykes: Well, for us right now in Europe, I’d have to say that most of our business there is still kind of based in that technology product based side. And we as a company, our focus right there is really protecting that base. We have very strong relationships in Europe, and that’s a good thing and our performance is good. The challenge in Europe is that many of those clients have already outsourced a large portion of our business. And so even though we have great relationships, the challenge is that our business becomes an extension of theirs, and so if they have challenges, they can start hitting up with reduced volume. So right now, we are having to work through right now some pricing discussions with clients. I would say that most of that have been resolved. And the good news is, I would say, that they are not irrational pricing discussions. We are able to maybe shift around some business, move it to some lower cost geographies and things such as that. And we want to hold on to those clients as much as we can. Right now I’d say we are doing pretty well. The next thing we have to do, Josh, though to get Europe off the ground for us and going forward we have to penetrate new verticals. And we are doing pretty well with that. I would say this week, although we don’t really make press announcements of things or such with it, but we did get awarded a nice program in a new financial vertical industry, which is a new geography for us, which is a good move. That’s a beachhead for us.
Mike Kipphut: This is Mike Kipphut. But we do anticipate volumes on a downturn for the second half of 2009. Obviously, that will change -- the macroeconomic conditions change over there and we certainly look forward to that. But when those things do happen, as you know, in Europe, we don’t have the flexibility of changing labor forces as we do in other parts of the world. So with that said, we do watch the attrition, and that helps to -- in certain circumstances in our -- we have great managers over in Europe who are -- just add good managers and watch the cost very carefully. So I think they are doing all they can to make sure that costs get more in line to the volume that we are addressing currently.
Josh Vogel – Sidoti & Company: Okay. And Mike, just a follow-up to that. I understand volumes were down year-over-year, but what about first half versus second half? Do you think they are going to be down or flat or maybe even slightly up?
Mike Kipphut: Well, as with all our forecasts, we really tend to reflect what our clients are seeing overall. In Europe, in particular, we are seeing the volumes come down. We do a bottoms-up forecast and we still see that throughout the rest of the year. We have some indications that perhaps some of that might uptick towards the latter part of the year. However, that remains to be seen and we are fairly conservative in our outlook. And I think our numbers currently reflect that. So I would have to say overall that volumes are very conservative in Europe at this point in time for the remainder of the year.
Josh Vogel – Sidoti & Company: Okay, great. And just one last one and I’ll jump back in. I was surprised to see revenue up so much at AT&T and I was curious how many programs you are working on or different business lines you are working on with AT&T today versus a year ago. And are you taking market share here or are they just outsourcing more?
Chuck Sykes: I would say -- first of all, to answer your first part of the question, there are four separate and distinct units that we are working within AT&T. And over the years we’ve added three of those four. One has been with us for quite some time. And the thing that right now is pushing the growth there, I mean, the wireless sector is continuing to see a lot of growth. As you guys, everyone knows that many people are moving our local access lines for just converting to wireless. I think it’s one of those cases where the stronger getting stronger in that sector, and we are fortunate to be connected with, if not the strongest, certainly one of the strongest out there in the industry with it. And so they are seeing just overall volumes increase. The other thing is that -- what's interesting is that going back kind of to your first question about smaller suppliers, there are companies out there that have very good relationships with these guys. But what happens is, some of these clients -- you know, I don't want to put words in their mouths, just in my conversations with them – they do get a little concerned with becoming 30%, 40%, 50% of their business. And so what happens, that actually opened the door for Sykes to be able to break in because they were looking for other suppliers that can make their current and future needs. And that was an opportunity that presented itself to us. And it’s taken a lot of time to just with being at that position the door opened and we’ve been able to capitalize on it. So --
Josh Vogel – Sidoti & Company: All right.
Chuck Sykes: That’s been really the thing leading to it.
Josh Vogel – Sidoti & Company: All right. Thanks for taking my questions. Appreciate it.
Chuck Sykes: Thanks.
Operator: Next question comes from Bob Evans Craig-Hallum Capital. Please proceed.
Bob Evans – Craig-Hallum Capital: Good morning. And thanks for taking my questions and nice job on the quarter.
Chuck Sykes: Good morning. Thank you.
Bob Evans – Craig-Hallum Capital: First, to go back to something you had commented on as it relates to the -- your financial services client. Is that a client that you had done business with in the past? And where will those seats go?
Chuck Sykes: In that program, that was a brand new logo for us. And those -- actually they are going to be in a number of locations throughout Europe.
Bob Evans – Craig-Hallum Capital: Okay. Can you say how many seats to start originally and where it might be (inaudible) go to?
Chuck Sykes: I really don’t want to get into that. I -- we really don’t even make it a habit here. I just haven’t got to do a press announcement. I really just want you guys to trust in our numbers in guidance. But just to try to give little more color to Josh’s question, I just stated that.
Bob Evans – Craig-Hallum Capital: Okay, fair enough. Can you maybe give us some sense of -- I know you don’t tend to like to put dollar amounts in terms of new business, from new and existing. But could you give us some sense kind of in aggregate, maybe from a seat standpoint, new business that was maybe signed from existing or new clients?
Mike Kipphut: Sure. Bob, it’s Mike Kipphut. I guess the best way to look at that overall is -- I’ll give it to from a couple of perspectives. If you look at our total second quarter revenue, new logos represent about 2% of total revenues that we had. And I guess on aggregate, if you look overall at the new seats that we are adding in 2009, which is up pretty substantially over prior guidance that we had in back quarters, out of the 1,700 to 1,900 seats that we are adding. About half of that is for new seats that are new logos.
Bob Evans – Craig-Hallum Capital: Okay. Okay. Half new logos. And how about in terms of business that you perhaps signed in Q2, Q3 that gives you a seat backlog, if you will, going into ’10? I’m just trying to get a sense of business sign now that might give you comfort to the seat growth kind of looking out?
Mike Kipphut: Bob, it’s a little early for us to give guidance for 2010. Again, true to what we’ve done historically, we won’t get into 2010 probably until the January call.
Bob Evans – Craig-Hallum Capital: Okay, okay. And then just to clarify, Chuck, on the comments you made in terms of your having pricing discussions with some of your European clients, are you seeing pricing coming up, coming down? Give a little bit more granularity there.
Chuck Sykes: I tell you, the thing that -- we are having pricing conversations not just in Europe, but throughout, as you could well imagine with it. But the one thing that I can say is, and I believe this in just our business in good times and in bad times, I think there is kind of a bandwidth, if you will, where healthy companies that know this business and almost, I’d say, 90% of our clients out there today are very, very smart about what it takes to run a customer contact center. They know when they are asking you to go below the point to where you are able to deliver. And the only ones that really don’t care about that point, which are very, very few of our clients who we’re dealing, are ones that I would say -- and I use the term distressed. And that’s one of the things that I think that our company has been very fortunate in, and that we are dealing with some of the stronger players in every one of the verticals. Now, that doesn’t mean that we can always find ways to reduce costs. Different productivity, sometimes they give some more business in return for maybe a lower unit price because we are able to get better utilization of facilities and things such as that. So that’s mostly the way the conversations are going, and we have very few that are really pushing us -- you know, trying to push us below that point where we just can’t really serve them well and do that business. But we are having to have cost discussions, and that doesn’t always manifest itself in just unit price. There are other ways to help companies reduce costs. And that’s just kind of a characterization I give it today. The one thing that does make a little challenging, Bob, with giving an answer about your -- the news pipeline, the news sales funnel and everything. The thing that is a little different, you know, a couple years ago, it’s like in every country we had, everything was up. And now it is a little more of a checkerboard. And so right now for us, having those strong relationships that focus on performance, we are having some movement of clients from some geographies to others as we help them get their costs in control. That’s kind of what’s working right now in the business mix. And it’s one of the reasons why I think for us having our global footprint, having our reputation and the work our ops guys are doing in their [ph] relationships we are doing coming out on a winning side of a lot of those conversations. So -- kind of more big answer to your question there to give you a little more color.
Bob Evans – Craig-Hallum Capital: And to follow up -- your comment on the distressed bucket, if you will, I mean, how -- as a percent of revenue, how big is that -- would you put companies quote in the distressed category?
Mike Kipphut: It would be single-digit for revenue. It would be very, very low.
Bob Evans – Craig-Hallum Capital: Okay.
Chuck Sykes: (inaudible) That’s one of the things that we -- you always hear us talking about risk and management and things such as that, and that’s always hard to quantify. But if you look at companies today and you think in the past, you guys don’t see these conversations obviously. But there were many times companies will come to us and will negotiate pricing terms, how we are paid. It affects a lot of things in our dialog that we are very disciplined about. And I think that it isn’t just luck that we find ourselves in the spot today that we are with clients that are weathering the storm pretty well. So I’d like to say that we kind of made some of our luck there.
Bob Evans – Craig-Hallum Capital: Okay. A final question, the US market, do you see more seats coming in, going out? What’s kind of the net-net?
Chuck Sykes: Well, what happens is if you -- in the past -- and we will -- and this is still true. I mean, we do see those two -- communications and financial services are going to be a big source of new growth for us. Technology, I’d say, our focus is on protecting our base and holding on to what we’ve got. But in that instance right there, communications, you’ve seen now that finally [ph] -- we’ve been talking about it. It looked like finance has taken more of the lead. But now you’ve seen some of the communication coming on. And we are starting to see right now more logos coming our way with financial services and opportunities. So I would say the deals are probably a little more significant on the communications side, but perhaps not quite as many logos. But on the financial services side, we are seeing more quantity of new logos coming our way. I think you’re still going to hear us talking about those two verticals for a while.
Bob Evans – Craig-Hallum Capital: And is that -- do you see much business going to the US in terms of capacity or seats, or is that all going offshore?
Chuck Sykes: I would say it’s still consistent with the way we’ve always characterized the market. And then if you are in retail banking, a lot of that business if not, I would say, almost of that business is domestic served. And if you are in credit card, I would say that 70% of that is outside the United States. Insurance is kind of a mixture, maybe 50/50. Actually with our experience, I’d say, a little more offshore today. And communications, I’d say, right now for us it’s probably about 70/30; 70% domestic, 30% offshore. That’s been our experience.
Bob Evans – Craig-Hallum Capital: Okay, thank you.
Chuck Sykes: Thank you.
Operator: Your next question comes from Matt McCormack from Brigantine Advisors. Please proceed.
Matt McCormack – Brigantine Advisors: Yes, hi. The first question is on the revenue guidance. You did beat by the quarter by, I think, about $7 million that you’re only raising the midpoint for the full year about two. So, is that all related to Europe or is there -- are volumes coming in lower than expected in America either due to migration or -- migrations or otherwise?
Chuck Sykes: Well, most of that is due to European outlook. I mean, that’s the same thing we try to send a message to you last quarter on that we are concerned about the volumes that we’re seeing. And that is truly reflective in our outlook that we’re providing at this point in time. Again, it does reflect bottom-up forecasting that we are seeing from our clients in order to obtain the 85% to 90% confidence level and reflect the conservativism that this management team usually does. I think overall it’s pretty much in line with what we think we see at this current point in time for the rest of the year, and again a lot of that is Europe; I would say, a substantial piece of it is.
Matt McCormack – Brigantine Advisors: And then in terms of the margins, I guess 2.9% for Europe, down quite a bit, you talked about the inflexibility you have in terms of labor. So -- I mean, what shall we expect to see what those margins I guess throughout the rest of the year? Will you be able to maintain profitability -- expecting profitability to be maintained in Europe?
Chuck Sykes: Yes. Matt, I think we reflected it in our forecast and we really don’t dig down any deeper on that from a business outlook perspective for the Street. I think we give quite a bit of information compared to our peer group in the normal process. And I think we’re just comfortable to provide that information at this point without going deeper.
Matt McCormack – Brigantine Advisors: Okay. And lastly, in terms of your -- I guess, your vertical portfolio, I know in the past you’ve talked about pruning certain customers to make a healthier business. How are you looking at your vertical makeup? And Chuck, I think you alluded to the fact that you’ve somewhat hedged with telco and financial services offsetting some of the other ones. But as you look at the portfolio and the visibility that you get in certain verticals, looking forward, are there some verticals that you are either not going to pursue anymore or de-emphasize substantially as you look out over the next few years?
Chuck Sykes: Yes. Matt, I wouldn’t say that we are deemphasizing any right now. I would say that right now what we are doing is we are just being more selective at this stage with where we believe most of the growth opportunity will come from, where we have a higher likelihood to succeed. The technology vertical, as you know, has been a staple industry for us for many years. And so we certainly want to hold on to those clients. I mean, it’s almost a third of our business and we have to make sure we are giving great performance there in taking care of those customers. And we are continuing to see opportunities with that industry set right now to where we are through to some of our consolidation efforts that we are able to win more business there. But that’s more on a relationship side. The communications side, even though we are seeing nice growth for us and also we now had to disclose stuff with AT&T. We are still relative to the success that some of our peers have had from years ago, I’d say we’re still scratching the surface, what really can be achieved in communications and in financial services when you look at the global market. And especially -- not especially, I’d say still, both of those, we’ve had great success with one particular client, but we’re really just scratching the surface on that. So we can hold on to the technology clients in the base, take care of our existing ones, and success kind of builds and bleeds success within an industry. I think we have some nice opportunity for us based on our size as a company. And eventually, I mean, talking years down the road, I’ve alluded to that we still believe two to three years out, you’re going to hear us talking a little more about the healthcare field. But I only do that to give you what we’re setting our sights on. But I still believe for the next two years these technology, telecommunications and finance are going to be the ones where we’re trying to make things happen. We do get these opportunistic deals that will come our way. And we don’t turn them down. We look at it and we assess the client, we assess the program. Can we do a good job? And is it something significant that it’s worth our time and we’re going to be able to take care and serve that client well. So you will see that from time to time as well. We are trying to things happen. It’s still in those three verticals.
Mike Kipphut: Matt, Mike Kipphut. Just what we’ve said previously too is that the diversification in the vertical mix really helps the stability of our business overall in our long-term business model. So we like it -- as Chuck said, we are constructing certain verticals, but quite frankly, they are decent margins in quite a few of those verticals. And we just don’t want to pass those up as well. And the diversity it brings is just fantastic.
Matt McCormack – Brigantine Advisors: Okay, thank you so much.
Chuck Sykes: Thank you.
Operator: Your next question comes from David Koning from Robert W. Baird. Please proceed.
David Koning – Robert W. Baird: Hey, guys, nice job.
Chuck Sykes: Hey, David, thank you.
David Koning – Robert W. Baird: I was wondering how much of the Americas revenue now is offshore? And I guess the reason I’m asking, I’m wondering kind of how the two -- meaning, offshore versus just kind of core onshore Americas, how those two are growing and kind of how you look at that long-term. I know (inaudible) in the past that offshore had been growing faster, but it almost seems like the core Americas business now is growing pretty well too.
Mike Kipphut: Yes, David, Mike Kipphut. About 60% of our offshore revenues are in the Americas right now. So on a consolidated total revenue, that’s about 43%, but it’s 60% of Americas revenues.
David Koning – Robert W. Baird: Okay. So does that -- (inaudible) but put that into my model, but is the onshore business actually growing faster now than the offshore business?
Chuck Sykes: Yes, it is.
David Koning – Robert W. Baird: Okay. And is that a function of -- has something changed you think in the industry in the last maybe three to six months that offshore just is a better opportunity or is the cost savings of offshore going to continue to drive that longer term at a faster rate than onshore?
Chuck Sykes: Yes -- no, I think what it is, David, is just the service segmentation strategies that these new industries that were growing and what they want. And it’s one of the reasons why we still believe and have always believed that if you are going to have any size in this industry, you’ve got to have a decent global footprint, because – everything -- we never believed everything was going to go offshore, we never believed everything is going to be near shore and were domestic. But every industry and even every client within the industry has a certain customer service segmentation strategy. And in the communications and with us growing now in the financial services, many of those business units that we’re serving, the domestic model works well for them. But that’s not -- that isn’t a characterization of any kind of change in fillings towards offshore or anything that we are seeing. It would have been that way five years ago if we would have been doing business with these guys.
David Koning – Robert W. Baird: Okay. And then one thing -- I know it got brought up that you raised your guidance, the midpoint back up a million even though you’d beat the quarter by seven or so, but one thing I don’t think has been brought up yet is that you reduced the FX headwind by about $20 million within your guidance, I think from $70 million headwind now to a $50 million headwind. So it seems like all else equal, you’re going to raise revenue guidance by $20 million. So I guess I’m wondering did you build in some extra conservatism just around the core volumes or -- maybe you could just talk through why revenue didn’t go up by $20 million.
Mike Kipphut: Yes, David. It’s more in line to what we’ve exactly said earlier in the call that there is some conservativism built into it. We’ll grant you that. But again, we are trying to reflect what’s happening in Europe as far as lower volumes. And again, we are just trying to reflect what we see with 85% to 90% confidence level that will happen in the third quarter and for the full year of 2009. And as we reviewed this with our appropriate -- to take those numbers down, particularly in the volume. And the FX is what our forecast represents, and it’s no different from what you see in the currency markets as far as any forward hedges. We are looking at the same approximate rates.
David Koning – Robert W. Baird: Okay. And then the final question, I think I asked this a little bit on the last call too is, based on, I think, the hedges you said about -- on the peso, you have about 37% locked in next year at 50 or so. And then the current spot rate is 48. So let’s say you just averaged 49 for your peso rate next year compared to your average rate this year of 44, is there anything wrong about thinking that that 10% move on the 150 million of peso-based expenses would have about a $50 million positive impact to EBIT next year? Or is there something else that I might be missing in that calculation?
Mike Kipphut: We, again, take into consideration that we are about 37% hedged and not 100% hedged. So we did place some nice hedges at the 50 level, but let’s see what the future brings. I thought I had good hedges at the 44 and 45 level for 2009 when we pleased them back in 2008, and obviously that’s changed. And so -- there is nothing wrong with your thinking, just look at the full numbers and keep in mind that about 37% is hedged for the first half of 2010 and that’s it.
David Koning – Robert W. Baird: Okay, great. Thank you.
Mike Kipphut: Thank you.
Operator: The next question comes from Brandon Dobell from William Blair. Please proceed.
Brandon Dobell – William Blair: Thanks. Guys, if you would compare, let’s say, the second quarter versus the first quarter and the fourth quarter in terms of how accurate the forward projections from your customers have been. So -- are they getting a little closer to helping you understand what’s actually going to happen or is there still a big gap between what they are predicting with what actually happens with volumes as we go through the quarter?
Mike Kipphut: It’s a great question, Brandon. I just have to tell you, we do have about 200 clients. And some of them are very good forecasters, they are spot-on, and some of them are not. I mean, it’s just like with any business. And you’d be surprised at those who don’t do a good job in forecasting or they are surprised by the market. But overall, we try to weigh in our experience over the last two years. Not many of our clients we’ve had for good six, eight, ten years. So we do have some type of historic data that we can also rely on, plus what our relationships are with those clients and what -- to what extent they are willing to provide that information to us, we’ll certainly take advantage of it. But do keep in mind, they do not necessarily go out more than 30 to 90 days. And then sometimes we just have a better view with some clients than others and then we have a good view to historic operations. But as you know, during the economic downturn such as we’re experiencing all bets sometimes go out the window and you get surprises, both positive and negative. So, so far, I think for the most part, we have been positively surprised, particularly with some of our clients in our transportation and travel portal verticals. So -- and we’ve been negatively surprised by others. But I think -- you know, it kind of goes back to what we spoke about previously that we have more of our customers in the service side more so than the product side, so we’ve been very fortunate from that respect. And the only exception is Europe. And as Chuck discussed earlier, we do see more that our consumer based in -- they are seeing volumes come down again quite dramatically.
Brandon Dobell – William Blair: Okay. If you look at the seats -- offshore seats only, how would you characterize the number of either shifts or the amount of utilization on a 24-hours basis you are getting there now versus, let’s say, a year ago, or how much headroom do you have to push that utilization? I guess, as part of a broader question, with utilization towards the high-70s, but you are adding capacity, it seems like the old idea of getting to 85 or better is a little bit tough if you really can’t control those new seats are at or where customers want to be. How do you try and balance the utilization versus seat growth mentality, especially offshore when you may only have 16 hours or 20 hours to work with?
Chuck Sykes: Well, Brandon, this is Chuck As we spoke earlier on one of the questions here with -- maybe with David, we were -- we are experiencing more seat growth right now in the US. And I would characterize right now that the offshore locations for us are still a very relevant part of meeting the needs of clients that are out there. And I would just say that our ability to be able to ratchet up our utilization. The beauty is -- I mean, obviously the way we want to do it is adding new seats or adding new clients to those empty seats where we have those throughout the world. But the other thing I can’t tell you that we’ve been very disciplined on is that the lease agreements that we have give us quite a bit of flexibility that when and if we ever decide that the sales funnel just isn’t going to need whatever capacity we have in some of those offshore locations. All we got to do is say go, and we can give immediate notice to take a floor at a time out. So we’re not at that point right now, but we’ve really been -- every time we go into a country, we always think how do we get out and just so we can try and manage that. So -- I don’t know, Mike, is there any more color you want --?
Mike Kipphut: No. I mean, flexibility is very key. I mean, you hit on some great points, Brandon, as far as profitability with utilization. And our offshore locations are fairly utilized. Obviously it’s not up to the 85% level at this point where we start getting more concern. And once we do get to some of those levels, we started adding capacity or make decisions not to add capacity whatever the case may be. So -- you know, we do look at that at least monthly, sometimes more often than that and have the flexibility, as Chuck mentioned, to either add or delete seats as needed. But right now, we are very pleased with our offshore locations, and the management teams running those operations are doing a great job and we want to just keep this thing going for quite sometime.
Brandon Dobell – William Blair: Okay. And final question for you. If you look at the European business or DBA business, do you think the returns on your capital there are good enough now or how much can you push them up to not justify being there, but you kind of get where I am going? Are the cash-on-cash returns for you guys sufficient to keep kind of plowing ahead and trying to fix things? Or do you see a point where you say we are just not making the hurdle rates we want to, we need to try and gracefully get out of this business over the course of a year or two? How do you think about that debate with you guys?
Chuck Sykes: Yes. You know, for us, the one thing about this business that I take a lot of comfort in is the long-term need that we see that people are going to have for inbound customer care. And so with that long-term need, we are going to go through cycles. And Europe is and can be a challenging market. But at the same time, if you are going to be a company that has aspirations to be the size that we want to be, we want to stay focused. I mean, you got to find a way to succeed in the global world. So we’re committed to be in that global standard. And with that, I think we’ve got a pretty good track record of showing that we can make money there. Now, going to your question, when you look at the return, the one thing about it, Brandon, that I can say is that even though the margins may not be that exciting, we are not expending a whole bunch of capital there. This is infrastructure that has been in place for a long time. And it’s not like in the Americas where we are burning CapEx, open up new centers in the US and new centers in offshore, it’s just a nice steady-state cash cow and it gives us a nice competitive advantage to be able to meet with some of these global companies that they continue to look for few of our suppliers. So that’s one way. We don’t really report on those numbers with it, but it is something that we review. And it would be a different story for us, I believe, if we’re returning those kind of margins, we are having to spend a lot of cash that constantly chase the market. That would become problematic.
Mike Kipphut: Yes. Keep in mind too, Brandon, that severance costs are pretty high in Europe as well. And quite frankly, I don’t remember us ever losing money on a quarterly basis in Europe, maybe briefly one quarter, but that’s about it. Maybe that’s not the case. If you look at country-by-country, obviously there are some countries we’ve exited in our history over the last 10, 15 years. But for the most part, as Chuck mentioned, our infrastructure has been in place since the ‘90s and they performed pretty well. And I could recall when I first started with the company that the European margins were quite a bit higher than the US and other country margins. So again, I think it’s important to have a business platform that serves the global market as our clients often look for. And so this is just a piece of the puzzle.
Brandon Dobell – William Blair: Okay. Great. Thanks, guys.
Chuck Sykes: Thank you.
Operator: Your next question comes from Shlomo Rosenbaum from Stifel Nicolaus. Please proceed.
Shlomo Rosenbaum – Stifel Nicolaus: Hi, thanks for taking my questions. Good job on the quarter, guys.
Chuck Sykes: Thank you.
Shlomo Rosenbaum – Stifel Nicolaus: I want to ask you a little bit about the operating margin in the Americas. Are we at a new higher level over here? Is there any reason why you shouldn’t just sort of flat-line that going forward or even increase it?
Mike Kipphut: Yes. That would be nice, but you have to look at it on consolidated basis too. But in the Americas, things are going quite well. And it’s generally a step function. We are adding a lot of seats, and when you do that, you got some ramp costs, you’ve got other costs as you continued to expand. So I wouldn’t flat-line that 17.9%.
Shlomo Rosenbaum – Stifel Nicolaus: So you’re expecting some of the ramp costs to offset some of the progress that you guys have made in the last quarter, is that the right way to think of it?
Mike Kipphut: You know, to a certain extent, yes, that is the case.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. Then I just want to go over the question that has been asked a few times already. If the currency headwind is abated by $20 million and the guidance up by $2 million, that is primarily due to EMEA volumes. Is that the right way to think of it?
Mike Kipphut: Yes, and conservativism overall.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. And what’s growing in transportation right now?
Mike Kipphut: A lot of our travel portals that we expect the volumes to come down substantially because of economic circumstances have not come down. Some are doing quite well. It may be a matter that we are just getting more volume versus their in-house capabilities or the other outsources that they are using, because as we tend to do, we concentrate on providing excellence in meeting our metrics and that’s easily rewarded with higher volume. So I think a lot of that has to do with what’s going on in the transportation vertical then.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. And then in corporate expenses, the unallocated expenses, they seem to move around. They were low this quarter. Is there some kind of seasonality I should think about for that line item in general?
Mike Kipphut: On corporate G&A?
Shlomo Rosenbaum – Stifel Nicolaus: When you separate, you have, like, the EMEA’s margin, then you’ve got the Americas margin and then you have the corporate expenses.
Mike Kipphut: Right.
Shlomo Rosenbaum – Stifel Nicolaus: I’m talking about that particular corporate expenses line item.
Mike Kipphut: Yes. Corporate G&A, there is some seasonality to it, not significant though. You have some times when audit costs in certain quarters are a little bit higher. And we tend to use consultants, particularly on the tax side in certain times of the year. And sometimes we invest a little bit more in our infrastructure on the sales side and the marketing side. So we do have some controls there, but for the most part, I think it’s pretty even, but it may blip a little bit from quarter to quarter.
Shlomo Rosenbaum – Stifel Nicolaus: Is there something about the second quarter that seems to trend well in the second quarter? Or is it the absence of SarbOx clause or anything like that?
Mike Kipphut: No, not anything specifically, Shlomo, that I can recall off of the top of my head. It’s pretty much a normalized quarter.
Shlomo Rosenbaum – Stifel Nicolaus: Okay.
Mike Kipphut: As we go into the third quarter, particularly in Europe, this is not corporate G&A related. This is just in general on seasonality with France and Spain, in particular, with a lot of countries that go on vacation or take holiday during the third quarter. It does have an impact on margins, sometimes favorable, sometimes not so favorable. And then with the normal seasonality of the fourth quarter where you got back-to-school and you have holiday seasons, gift-giving seasons, we tend to see some volumes pick up on the technology side. And that’s where we are particularly concerned in Europe as we go into the remainder of this year.
Shlomo Rosenbaum – Stifel Nicolaus: Okay. And then the last one, is the strength in communications primarily from wireless or is there anything else that’s going on over there? Is there anything in broadband?
Chuck Sykes:
 :
Shlomo Rosenbaum – Stifel Nicolaus: Okay. And just in terms of the pipeline of what you guys have got, deals and seats ramping up, the growth is industry-leading for a while. Does your pipeline support this kind of growth going forward?
Chuck Sykes: Yes, it’s -- the pipeline has actually been very, very strong this year and we still continue to see nice opportunities ahead. The thing that’s made this year challenging -- and it’s not just for us, but the industry, and I’m sure I’m stating the obvious here with it. But it’s just been what’s happened with the base business and how we’ve had to adjust for that. So our sales team has done a really incredible job by bringing in some of these new programs and all. And it’s going to be a few weeks. We are going to begin our planning here in the next several weeks as we get into 2010. So I’ll have a little more color on that once they’ve had a chance to sit down and do some of their own reviews. But right now, I mean, things still feel pretty good for us.
Shlomo Rosenbaum – Stifel Nicolaus: Thanks a lot. Good job.
Chuck Sykes: Thank you.
Mike Kipphut: Thanks.
Operator: Your next question comes from Kevin McVeigh from Credit Suisse. Please proceed.
Kevin McVeigh – Credit Suisse: Great, thank you. I wonder if you could talk a little bit about just the capacity, Chuck, this cycle as opposed to last. It seems like it’s been a lot more disciplined and kind of [ph] your thoughts on that on longer term.
Chuck Sykes: Kevin, can you say that again? I couldn’t --
Kevin McVeigh – Credit Suisse: Sure. Just that the capacity in the industry overall this cycle as opposed to the last one, it seems like the capacity has been a lot more disciplined through this down cycle, and what your thoughts are on that as we kind of work our way over the next two to three quarters.
Chuck Sykes: Yes. You mean, the down cycle compared to the one we went through back in 2001-02 period?
Kevin McVeigh – Credit Suisse: Yes.
Chuck Sykes: Okay. Yes, the big difference that I would say there is that the shift was to offshore. You know, first, the pricing pressures came in, vendor consolidation, then the offshore movement. In an order for us to meet that need, we had to build everything from scratch. We had the duplicative costs and things such as that. In this environment, what happened is that while you are happy to see in the US where we are adding new sites, and we also are having to -- we are doing that through leased facilities primarily because it’s not as predictable for us today to determine where the seats are going to be needed. And so leased facilities allow us to move very, very quickly, and that’s the different approach that we’ve taken in the past with it. But I would just say that we as a company are much stronger where we don’t have other business lines that we are trying to get rid off in our company. We have a strong management team. We have a very capable sales team. We had a number of years now where we have -- I mean, everyday we go to work, I mean, everyone from my job, all the way down to an ancient world focused on the same industry. And I do believe that gives any kind of company a little bit of a leg-up in anticipating things and it does allow you to stay a little bit more disciplined. So I just feel overall much, much stronger although this is a scarier global environment that we’ve had, but despite that, I feel much stronger as a company in our ability to respond to it.
Kevin McVeigh – Credit Suisse: Great. And I wonder -- can you talk, you know, product versus services in terms of revenue overall in the Americas versus EMEA?
Chuck Sykes: Yes. We have -- in Europe, I think in the past I’ve stated that it’s about 70% of our business in Europe is in that product category. And I’m sure you’re asking that because that’s where we had stated that it does become a little more problematic in a down economy for the call center business because calls are tied a great deal to new products being sold in that case. And of course, the only thing that will save you in that kind of environment is if you have strong performance coupled with just a healthy relationship so you can work through that and we’re fortunate that we have that.
Kevin McVeigh – Credit Suisse: And then just if you could, Chuck, that’s split in the Americas as well?
Chuck Sykes: It’s reverse, the opposite. It’s 70% services, 30% product.
Kevin McVeigh – Credit Suisse: Great. Okay, thank you very much.
Chuck Sykes: Thank you.
Operator: Your next question comes from Eric Boyer from Wells Fargo Securities. Please proceed.
Eric Boyer – Wells Fargo Securities: Hi, thanks. Could you just give us a rough idea of how much of a benefit the favorable attrition and wage dynamics that you mentioned are having on your margin? I’m just trying to figure out what in your margin may not be sustainable when the economy and employment finally improves?
Mike Kipphut: Yes. We really don’t get into that level of detail overall. It does impact us from a pricing and a competitive standpoint overall. And we really don’t like to get into that. But I will tell you overall it is favorable impacting our business to have lower attrition rates.
Eric Boyer – Wells Fargo Securities: I guess, when you have lower attrition rates, then I guess the natural wage reset you may have within your employment base isn’t really there. Does the lower training cost overall offset any negative impact you may see there?
Mike Kipphut: Yes, for the most part, it does offset that on the wage reset. You do have to understand that these attrition rates are pretty significant overall. In the US, historically, it’s been 100%, 120%, in that range. And right now we are not seeing that level. We are seeing 80% to 100%, maybe in that range, but not to the 120% level. And then when you look internationally or on a worldwide basis, the attrition is not going up and it’s going down slightly. So it has been again a positive influence on margins that really offsets the wage reset from the attrition levels.
Eric Boyer – Wells Fargo Securities: And then you touched upon existing work going offshore to help clients with their costs. How much more revenue in your base do you think could offshore, especially given the economic conditions maybe forcing some of your customers to send work out to lower-cost geographies that they may not have in better times?
Chuck Sykes: Yes, we have -- I mean, with our existing base business, Eric, there is really a small percentage that I’d say has a movement in that case for us. We do have -- we have a few clients in Europe that we’ve actually recently moved down to our South Africa location from some of the other parts of Europe that we’ve got. But they are major programs. And again, it’s nothing like what we had in the original migration in that 2001, 2002 period.
Eric Boyer – Wells Fargo Securities: But maybe you’re just down a couple points of revenue a year range right now?
Chuck Sykes: Yes. It’s just -- and it’s just -- yes, a few select geographies that we have, there isn’t really any kind of massive trend that we’re experiencing.
Eric Boyer – Wells Fargo Securities: Is there an ideal onshore/offshore mix that you guys are kind of targeting?
Mike Kipphut: I don’t think so. I mean, I know in the beginning there was a lot of talk about -- there was a lot of excitement in the beginning. I think when everybody was talking about how great the margins were offshore and things, and they are certainly good. You know, you got that lower revenue, unit revenue, and that takes away from the economy of scale on your corporate overhead cost and things. And we are having to expend cash and building out. So we are just as happy really locating anywhere in our operations. We pretty much have our entire business modeled to where -- we are not comfortable with something today. We get rid of it now, because you don’t really have to wait to win a program to see if it's going to right. We know the way it’s supposed to run. And we’re okay. We just want to make sure that our delivery footprint is relevant to the needs of the market. That’s probably what we focus more on. And right now, I’d say, we’ve got a nice footprint.
Eric Boyer – Wells Fargo Securities: And then just finally, the new business front, are things starting to loosen up at all in terms of decision making and maybe the sales cycle times over the last three months or so?
Chuck Sykes: That’s an interesting question. And I wish I could give you guys hard quantitative answers on it, but -- you know, I don’t know if I’d say it’s loosening up. I would just say that some of the programs that we’ve been working on are finally kind of coming into the decision point. The bad news in that is that it has taken a little longer. The good news in it, though, is that the programs are considerably more significant. And so I think they are well worth the wait in that case. So it isn’t really -- I don’t look at it as a single point of bad news in that case. These are just bigger, more complicated decisions. But I think it’s going to start changing. It has the potential to start changing the face of us as a company in which our programs are becoming considerably larger and our relationships are getting deeper, which I think is an exciting place to be.
Eric Boyer – Wells Fargo Securities: All right. Thanks a lot.
Chuck Sykes: Thank you.
Operator: There are no further questions at this time. I would now like to turn the call over to management for closing remarks.
Chuck Sykes: Thank you, Glenn. Well, thank you, everyone, for your questions. As always, we appreciate the time that you guys put in to studying our business and we appreciate the level of detail that you guys have in just the way you know us. And I always tell the guys all the questions you get, you actually challenge us to run our company better because there is a couple of things here we have got to go back and go look at and study. But we appreciate that and look forward to chatting with you next quarter. Thank you.